Operator: Good evening. My name is Kwiesha, and I will be your conference operator today. At this time, I would like to welcome everyone to the Trimble Fourth Quarter 2016 Earnings Conference Call. Thank you. Mr. Jim Todd, you may begin your conference.
Jim Todd - Trimble, Inc.: Thanks, Kwiesha. Good afternoon, everyone, and thanks for joining us today on the call. I'm here today with Steve Berglund, our CEO; and Rob Painter, our CFO. I would like to point out that our earnings release and the slide presentation supplementing today's call are available on our website at www.trimble.com, as well as within the webcast and we will be referring to the presentation today. Turning to slide 2 of the presentation, I would like to remind you that the forward-looking statements made in today's call and the subsequent question-and-answer period are subject to risks and uncertainties. Trimble's actual results may differ materially from those currently anticipated due to a number of factors detailed in the company's Form 10-K and 10-Qs or other documents filed with the Securities and Exchange Commission. The non-GAAP measures that we discuss in today's call are fully reconciled to GAAP measures in the tables from our press release. With that, please turn to slide 3 for an agenda of the call today. First, Steve will start with an overview of the quarter. After that, Rob will take us through the remainder of the slides, including an in-depth review of the quarter, the year and our guidance, and then we will go to Q&A. With that, please turn to slide 4 and I will turn the call over to Steve.
Steven W. Berglund - Trimble, Inc.: Good afternoon. Our fourth quarter results demonstrated continued progression. The fourth quarter combined with the third quarter represents the best dynamics of any six-month period since the first half of 2014. During the second half of 2016, all of our reported segments generated both year-over-year organic revenue growth and margin expansion. While we are not at our targeted model, largely because of the lingering agricultural downturn and the follow-on effects from the oil and gas dislocations, this performance does represent meaningful stabilization and improvement. The key elements present in the second half performance included the return of organic growth, evidence of tighter cost control and tightened organizational focus. We're particularly pleased with operating leverage of 62% in the fourth quarter and 46% for the entire second half. The international market generally has an upside bias. Markets outside the U.S. grew in aggregate at a rate substantially faster than the U.S., both for the quarter and full year. The exceptions to this otherwise positive view are primarily represented by the UK, Mexico, the Emirates and South Africa. The U.S. is lagging behind the growth rate seen elsewhere largely because of the ongoing difficulties in geospatial within E&C and the continued state of North American agriculture. The recent U.S. election created a number of potential contradictions. On the one hand, the prospects of tax reform, regulatory reform and significant U.S. infrastructure spend are potential upsides for Trimble. On the other hand, heightened ambiguity about the stability of international trade poses a significant source of uncertainty and potential challenge, given Trimble's international profile and our commitment to free movement of goods, services and people. At this point, the possibilities are highly speculative as no real insight into policy is available. During 2016, we put a heavy emphasis on restoring our robust financial model by controlling head count, tightly controlling our discretionary spend, pruning peripheral businesses that were not contributing, and fixing strategically relevant but underperforming businesses. The effects of our spending control were evident in the second half of the year with relative decline of expenses as a percentage of revenue and the resulting beneficial impact on operating margins. In addition, we improved focus by divesting our public safety business, our drone business, the hydro element of our agriculture business and most recently our ThingMagic business. Our efforts to fix strategically relevant elements of the portfolio that are not performing financially centered on the field service business in the Mobile Solutions segment and Manhattan Software and E&C. Our patience with these businesses remains contingent upon confirming their future growth potential, their strategic link to the rest of Trimble and their continued improvement trajectory. The field services business effectively broke even in the fourth quarter and is expected to be a contributor for all of 2017. The Manhattan Software, although still a financial drag, exceeded our expectations for the last two quarters. Moving into 2017, we will continue to emphasize the discipline needed to generate continued improvement. However, the recent improved performance provides scope to place increased emphasis on discrete organic growth initiatives with the aim of building momentum through 2017 and achieving even higher performance levels in 2018. These include the accelerating conversion of traditional software license models to SaaS models, the continued investment in Trimble Connect, development of our data and software capability in agriculture, the development of driver communities and third-party logistics providers in Mobile Solutions, and the development of autonomy concepts. After a period of relatively muted acquisition activity, while we focused on operations, we also expect 2017 to include more acquisition activity. The most recent example was announced this morning, which was the acquisition of Beena Vision in the rail space. A fourth quarter example was the acquisition of Building Data, which together with the 2013 acquisition of Trade Service, builds our BIM-centric content play in the mechanical, electrical and plumbing construction trades. Both Beena Vision and Building Data are profitable and directionally consistent with the Trimble financial model. After any short-term purchase accounting effects have dissipated, we anticipate them to be P&L accretive and to generate returns that exceed our weighted average cost of capital within a comparatively short period of time. Our current level of acquisition activity is running higher than it did through much of 2016, although the challenge will be to convert this activity into successful outcomes. We currently anticipate at least a few points of revenue growth coming from acquisition this year. We expect to stay close to home on acquisitions. We will be focused on extending the core franchises of construction, agriculture, and transportation, and building the emerging businesses of rail, water, forestry and electrical utilities. In addition to the other organic growth initiatives in 2017, we continue to place significant emphasis on reinforcing our ongoing go-to-market efforts. We have repeatedly discussed our intentions to build distribution capability, utilizing targeted third-party direct and key account channels. Recent examples in the marketplace reflect Trimble's growing brand and market influence. Our construction-centric users conference, Dimensions, was held in November and attracted over 4,400 attendees with over 625 educational sessions. in.sight, our transportation users conference, was held in September with over 2,400 attendees and 350 educational sessions. These examples emphasize Trimble's evolving relationship with its user community, from being a product provider to a provider of solutions that include bundles of hardware, software and services. Another go-to-market emphasis is the growing number of OEM relationships in construction and agriculture and transportation. Although the incremental volume provided by these relationships is interesting, the more significant consideration is the mixed fleet information ecosystem that is being created by incremental stats, hopefully with Trimble in the middle. Our current outlook for 2017 remains largely unchanged with the expectation of mid single-digit organic growth, boosted by a few points from acquisition. E&C is expected to grow organically at a higher rate than 2016 with a probability of a stronger second half. We expect growth from geospatial, civil engineering and building. Field Solutions has stabilized and is expected to demonstrate relatively modest revenue and profit growth. Mobile Solutions will reflect continued relatively strong revenue growth based on continuing growth in transportation and logistics and a growing contribution from field service. Our management focus is to demonstrate organic revenue growth throughout 2017 to consistently expand operating margins year-over-year and to build momentum during the year. There will be some sequential volatility from quarter to quarter, but we have reestablished a trajectory that is up and to the right. Rob?
Robert G. Painter - Trimble, Inc.: Thanks, Steve, and good afternoon everyone. Let's turn to slide 5. Our fourth quarter results came in ahead of expectations with top line and bottom line results meeting or exceeding our expectations in all our reporting segments. Fourth quarter total revenue was $586 million, up 5% year-over-year. The combination of currency translation and the net effect of acquisitions and divestitures reduced revenue by approximately 1%. Fourth quarter gross margins were 56.9%, neutral both sequentially and on a year-over-year basis. Fourth quarter non-GAAP net income was up 19%, as the effect of our operating model improvements continue to bear fruit. Non-GAAP earnings per share in the fourth quarter were $0.31, up $0.04 or 15% year-over-year. Bottom line performance in the quarter was reflective of our cost reduction initiatives and was tempered by previously discussed expenses relating to our biannual Dimensions Conference of about $5 million. Adjusting for the Dimensions Conference expenses, we would have achieved a non-GAAP operating income margin of 19.2%, representing year-over-year improvement of 290 basis points on an apples-to-apples basis. Lastly, our deferred revenue increased 8% to $284 million, and operating cash flow increased 59% to $125 million. Turning to slide 6, full-year total revenue was $2.362 billion, up 3% year-over-year. Currency translation reduced revenue approximately 1% and the net effect of acquisitions and divestitures added about 1%. Full-year gross margin was 56.4%, down 40 basis points from the prior year. Full-year non-GAAP net income was over $302 million, up a little less than 4% from prior year. Non-GAAP earnings per share for the full year were $1.19, up $0.06 or about 5%. Bottom line performance for the year was driven by cost reduction initiatives and the portfolio actions with margin progression realized throughout the year and was tempered on the whole by discrete R&D investments we have been making in relation to specific market opportunities that we believe are compelling over the long term. 2016 was a tale of two halves of earning performance, with the first half of 2016 EPS down 2% year-over-year and the second half performance up 14% year-over-year. Operating cash flow was $407 million, up 15% for the year, and during the year, we repurchased about $119 million of our common stock. Turing to our quarterly results by segment, let's start with our Engineering & Construction segment on slide 7. Fourth quarter revenue was $320 million, up slightly with currency translation reducing revenue about 1%, and the net effect of acquisitions and divestitures adding about 1%. Within Engineering & Construction, revenue performance was mixed, with growth in our civil engineering and construction, and building construction businesses offset by a decline in our geospatial business. Our civil engineering and construction business finished the quarter up single digits. The U.S. market continues to be challenging, while outside the U.S., we continue to experience strong performance with double-digit increases in some markets. Our OEM relationships continue to drive business and solidify our place at the heart of the construction information ecosystem. With our building construction business, revenue was steady and up single digits, with growth in this business restrained by negative currency impacts, or on a relative basis, we have a higher percentage of our sales denominated in British pounds and euros. Our Manhattan Software business, which we have discussed in previous calls, demonstrated improvement in the quarter and is trending in the right direction. During the quarter, we acquired Building Data, which will further strengthen our building information modeling offering in the mechanical, electrical and plumbing space. Within geospatial, end markets remain challenging, as we've previously discussed. On a global basis, we see our market share holding or growing and we are starting to see customers work through underutilized inventory. Innovation is a key to regaining growth in geospatial and our SX10 launch has been a success both with dealer partners as well as end customers. Turning now to slide 8, Field Solutions had fourth quarter revenue of $83 million, up 5% with currency translation having a minor negative effect, while the net effect of acquisitions and divestitures was neutral. Operating margins were down 120 basis points year-over-year based on product mix dynamics in agriculture and GIS performance. Within Field Solutions, our agriculture business experienced low double-digit growth, largely driven by growth with OEM partners, software and growth in emerging markets, including Brazil, Argentina and Russia. The end market in North America has been down now for a few years with double-digit end market declines in 2014, 2015 and 2016. We believe an inflection point is near, as equipment continues to age and as our product and customer mix continues to evolve. We continue to see growth in our software business where we saw double-digit growth in subscription revenues. Furthermore, we see growth from our strategy to address stakeholders throughout the agricultural value chain such as agronomists, retailers and processors. The overall growth of our Field Solutions segment was partially offset by a revenue decline in our GIS business, where we experienced a drop in our federal business coupled with the continued trend of industrial data collection devices being disrupted by consumer devices. This trend has had an impact on both unit volume as well as average selling prices. In response, we recently launched our Catalyst solution, which brings high accuracy positioning to consumer devices and we made some organizational changes that we believe will bring marketing, sales and strategy into better alignment. Moving to Mobile Solutions on slide 9, Mobile Solutions achieved revenue of $147 million, up 11% with currency translation reducing revenue about 1% and the net effect of acquisitions and divestitures reducing revenue about 2%. Within Mobile Solutions, our transportation business experienced double-digit revenue growth, as our mobility and enterprise solutions continue to benefit from the electronic logging device mandate, driving opportunities to engage with customers and to show them the breadth of our product and service portfolio. We're also starting to see some of the fruits of our R&D expenditures, as new product introduction contributed to the growth of the business. For example, our video solutions drove incremental revenue in Q4 as well as all of 2016. We were also named the top telematics industry innovator by ABI Research in December, a nice acknowledgement of the accomplishments of our team. Lastly, I'd like to point out that while we are pleased with the growth in our transportation business during the fourth quarter, our year-over-year comparison was enhanced by lower than expected revenue in the fourth quarter of last year due to product delays, which we discussed in last year's fourth quarter call. In our field services management business, as Steve mentioned, we were able to achieve profitability with the help of revenue recognition on a deferred contract. This business is poised for ongoing profitability heading into the first half of 2017. If you turn now to slide 10, our Advanced Devices segment achieved revenues of $35 million, up 21% with currency translation having a neutral impact, and the net effect of acquisitions and divestitures reducing revenue about 2%. In our first quarter call this year, we described a decline in this segment in the first quarter, coupled with an expected rebound late in the year, mostly related to timing issues. This came to fruition in the fourth quarter with top line growth that exceeded our expectations. With cost control applied to a more conservative internal revenue plan, we were able to expand operating margins. Higher than expected revenue growth came from new product introductions and continued growth in our positioning technologies related to autonomous driving. Lastly, as part of our ongoing strategy to tighten corporate focus, we divested our ThingMagic RFID business, which happened within the first quarter of 2017. Next slide 11, by geography, our revenue mix for the quarter was 53% from North America, 24% from Europe, 16% from Asia-Pacific and 7% from rest of world. North America was up 4% year-over-year, an improvement from last quarter. Within North America, revenue in the U.S. and Canada were up while revenue declined in Mexico. Europe was flat in the fourth quarter driven by decline in the UK. Excluding the UK, revenue in Europe was up double digits in the quarter and up single digits for the year. UK continues to be a challenging end market with revenue down double digits in both the quarter and for the year. Asia-Pacific revenue experienced growth in all segments in the fourth quarter. For the year, revenue has grown double digits in Japan, Australia and India; and single digits in China. Lastly, rest of world was relatively flat year-over-year. Moving now to revenue mix, slide 12 shows us that our software services and recurring streams represented 47% of our revenue for the year, flat with respect to prior year, while recurring revenue represented 28% of company revenue for the year, 1 percentage point higher than the prior period. I'd like to point out that hardware revenue in our Mobile Solutions segment, specifically in the PeopleNet business, grew at a double-digit rate during the year and an even higher double-digit rate during the fourth quarter. And in this business, hardware installation perceived subscriptions, so the revenue mix impacted this hardware growth dynamic, kept the software revenue mix from further expanding. At the company level, recurring revenues grew over 8% for the year, which is more than twice the rate of growth of our overall revenues for the year. And our SaaS offerings continue to be a growing portion of our current and projected future revenue base. Turning to slide 13, I want to take this opportunity to highlight some of the recent acquisitions and divestitures that we have executed on, recently. 2016 was a year, in which our acquisition activity was lower than previous years. And we executed on a number of divestitures as part of the continuing program to tighten our organization focus. During fiscal 2016, we divested five businesses, and we recently announced the divestiture of another in the first quarter of 2017. This morning, we announced the acquisition of Beena Vision Systems, a manufacturer of vision-based wayside detectors for the railroad industry. Slide 14 provides a one-page overview of the acquisition, inclusive of the company description, an overview of our existing rail portfolio and the strategic rationale for acquiring Beena Vision to expand our rail portfolio. Beena Vision will report up to our Engineering & Construction segment and we expect the business to be accretive to earnings after approximately one quarter of negative purchase accounting effects. Moving on to slide 15, I would also like to take a moment to talk about an upcoming accounting change that impacts revenue from contracts with customers. The pronouncement is ASC606 and it represents the biggest change in accounting in many years. The intensive ASC606 is to conform to international standards and enable more comparable global and cross industry comparison. We anticipate there to be some puts and takes on our various revenue streams under this new revenue recognition standard. And while we are not ready to quantify those at this point, we do want to signal to investors that we will be spending a significant amount of effort and money for this compliance exercise. We expect capital expenditures to exceed $10 million for this project and a couple of pennies of EPS expense per year for the next several years. Turning now to slide 16, we finished the quarter with $327 million of cash and short-term investments, and during the year, we reduced indebtedness by about $110 million. During the year, we also repurchased about $119 million worth of stock. Our net debt position provides us with dry powder for acquisitions that we hope to execute on over the coming year. Further, as our business continues to transition to increase software and services streams, our deferred revenue experienced growth of 8%. Cash flow from operations in 2016 was up 15%, assisted by revenue mix shifts and effective management of working capital. Our inventory turns and days sales outstanding metrics showed the results of specific improvement initiatives with days sales outstanding dropping four days year-over-year and inventory turns meaningfully improving as well. In 2016, cash flow from operations strengthened to greater than 1.3 times non-GAAP net income due to these improvements. In 2017, we expect that ratio to come down, but expect that operating cash flow will continue to comfortably exceed non-GAAP net income. Finally, as it relates to post-election policy considerations, we are monitoring and assessing potential impacts relating to corporate tax reform, cash repatriation, interest rate and CapEx deductibility, regulatory reform, infrastructure initiatives, as well as trade and immigration. These considerations could present positives and negatives for us, but it is too early to speak with any specificity until policy details begin to emerge. With that, we now turn to Q1 guidance in slide 17. We expect Q1 revenue to be between $585 million and $615 million, and non-GAAP EPS to be between $0.27 and $0.32. A bit of commentary on our revenue guidance. The U.S. dollar has strengthened on a year-over-year basis, which provides a top line growth headwind of approximately 1%. We will also see about 0.5% negative impact in Q1 from the net of M&A and divestures. As per the bottom line progression, we continue to expect meaningful year-over-year progression. Please do note that when you look at our operating expenses from a sequential perspective, we normally see a sequential step up from Q4 to Q1, and we expect that this quarter as well. In closing, please note that this quarter we will be at the Morgan Stanley TMT Conference in San Francisco on February 27 and 28 and the Raymond James Institutional Investors Conference on March 7. Let's now take your questions.
Operator: And your first question comes from the line of Jonathan Ho.
Jonathan F. Ho - William Blair & Co. LLC: Good afternoon. I just wanted to start out with your commentary around potentially seeing an inflection point around the Field Solutions business. How should we be thinking about that? I know it's relatively early days both in terms of how meaningful it could be and potential timing of that inflection point?
Robert G. Painter - Trimble, Inc.: Hey, Jonathan, this is Rob. So if you look at Field Solutions over the last, let's say, few quarters, Q3 and Q4 of 2016 represented positive year-over-year comps, Q2 was a flat, and then the preceding quarters before that had been negative for some time. So at this point, we're looking – if I really look back to Q2 and I guess I could argue one level of the inflection point there when we hit the one from the negative to the zero and then turn positive in Q3 and Q4. And now as we look forward into 2017 on, let's say, the annual basis, we have conviction that we'll see some growth again in Field Solutions. And then maybe the last thing to add is in North America specifically that if we were to turn – let's say, hit a meaningful inflection point in the U.S. market, that could materially move our numbers.
Jonathan F. Ho - William Blair & Co. LLC: Got it. Got it. And then, just relative to your 2017 guidance, I just wanted to better understand what the macro assumptions were that you are contemplating and maybe what some of the levers on the macro side could be either to get to the higher end or maybe any headwinds relative to your guidance?
Steven W. Berglund - Trimble, Inc.: I think the overall judgment relative to 2017 on the macros is effectively no change from the recent circumstances. I think at this point in time, we generally see an improving trend internationally with a few exceptions that we called out. So I think the big swing relative to 2017 would be the U.S., so kind of the current assumption is no change. And kind of given the current environment that is probably not, a, going to end up being the right assumption is just directionally which way to call it is the question. So I think that, first of all, the downside swinger would be on the trade side, if barriers start going up in kind of tit for tat mode, that would not be a positive for us. That would be a significant negative. So I think that's the most significant downside scenario. Now, there is more talk about increased growth rates in the U.S., there is the infrastructure spending possibility, there is corporate tax reform and all that. So I would say is the big swingers for us, I think, ultimately kind of distilling it down on the positive side would be okay, let's call a pickup in growth rate in the U.S. kind of releasing animal spirits, if you will, that have probably been dormant for some time and the other would be, I think, the discreet step of actually doing something on the infrastructure spend side. The devils and the details on the infrastructure spend side in terms of what it actually goes to, it could be a big number, but if it goes – but from our perspective, it would be actually what is the money being spent for would be the key determinant. So I would say those are the leverage points. I would say that in some of our markets, the relative buoyancy of attitude actually has improved in the U.S. since the election. For example, the trucking industry seems to be kind of something to have an emotional upswing at this point in time. Whether that actually gets translated into increased spending levels or not, we'll see. But I think it's too early to tell for sure, but I think there are some distinct leverage points for us as a company.
Jonathan F. Ho - William Blair & Co. LLC: Thank you.
Operator: Okay. And your next question comes from James Faucette from Morgan Stanley.
Yuuji Anderson - Morgan Stanley & Co. LLC: It's Yuuji Anderson on for James. Thanks for taking my question. As we think about the pace of margin improvements throughout 2017, could you give us a little bit more color perhaps on the segment level? Where do you think we will see the biggest improvements there?
Robert G. Painter - Trimble, Inc.: If I think about for the total, I'll put in the context as a total year, really the two areas I would point to would be Mobile Solutions and Engineering & Construction would have the, I'd say, most meaningful impact. Now Mobile Solutions, to understand that dynamic greater, mostly it's a software-oriented reporting segment with a growing cumulative subscriber base, so the math works there in terms of the margin expansion. And then within Engineering & Construction, getting a, let's call it, a full-year effect of some of the cost cutting activities that took place within the second half of 2016, we would expect to flow through and have operating margin expansion.
Yuuji Anderson - Morgan Stanley & Co. LLC: Got it. And to follow up on Mobile Solutions, if I recall, last year there was a slight step down in Q1 margins because of upfront hardware revenues. Is that something that's going to play out now or has that mostly passed given Q4 results?
Robert G. Painter - Trimble, Inc.: So you mean sequentially Q4 to Q1?
Yuuji Anderson - Morgan Stanley & Co. LLC: Correct.
Robert G. Painter - Trimble, Inc.: Yeah, actually I would expect to see a step down in the sequential margins in that segment. Sort of one factor that's a little bit unique to this segment for us is the nature of how we have different PTO policies actually in a couple of our businesses in this segment. So, basically as you come into Q1, then we would be stepping back up into the vacation policies that also hit your FICA adjustments – or I should say FICA coming back on for employees. So the sum of that actually drives an OpEx delta quarter-to-quarter, and that's sort of the, one of the last things I said in my guidance for the quarter is about the sequential step up in OpEx from Q4 to Q1, so that plays through a little bit.
Yuuji Anderson - Morgan Stanley & Co. LLC: Got it. Thanks so much.
Operator: And your next question comes from the line of Jerry Revich from Goldman Sachs.
Jerry Revich - Goldman Sachs & Co.: Hi. Good afternoon and good evening. Steve, I'm wondering if you could talk about your increased focus on M&A. Is that driven by the opportunity set that you see in the marketplace or are you focused on a handful of the platforms that you described of building a solution with bigger scale? Can you just step us through the pivot in the strategy? And then, can you maintain the level of OpEx performance that you folks have had in the back half of 2016, as you ramp up the M&A efforts?
Steven W. Berglund - Trimble, Inc.: Yeah. So I think that kind of the M&A environment, maybe is a convergence of a number of things. I think one element, although I would call nothing that's available cheap at this point in time, I think valuations have maybe moderated a bit from what they were maybe a year to two years ago when there was something of a feeding frenzy partly fed by private equity, partly fed by kind of strategic buying into kind of a digital view of the world. Again not cheap, but I think probably a little bit more – a little easier to have conformed to a business model looking forward. I think again our perspective is to stay quite focused on a value-oriented strategy here, which is really to look for franchise value creation when it comes to our more established business of construction, of agriculture, of transportation in terms of looking at kind of network effects with our existing set of assets and a, really focus on that as well as keeping a pretty disciplined view in terms of time horizon to profitability really in most cases saying that once we were through the purchase accounting is that we would expect to see P&L accretion and with a reasonable time framework to kind of return on capital sorts of perspectives. When it comes to some of these emerging businesses of ours, forestry, electrical, water and rail, there I think what we're attempting to do more discretely is to do what we did in buildings and what we did in transportation and logistics is really to build out a franchise built around the lifecycle, the workflow, the lifecycle of the industry. In most cases, we believe that from a conceptual standpoint, we have a pretty evolved view, a pretty evolved intellectual model of what to do in these industries and we believe that we have perhaps a unique ability to – or a relatively unique ability to kind of build out a franchise. So I would say is, reinforcing for the existing businesses and let's call franchise building and creating some network effects in these emerging businesses. But keeping very focused on outcomes, very focused on performance I would say is that, having said that, I would say in terms of the OpEx performance that we achieved in the second half of the year, part of the discipline on the M&A is basically to make sure that we don't compromise the progress we've created here in terms of financial model progression. I think, yeah, it's inevitable particularly when in the software realm to probably stress the model a little bit when making an acquisition, but our objective would be to be pretty transparent on that and along with a time horizon in terms of when an acquisition is going to conform. I think on the two most recent ones that we talked about here today, I think they're going to conform to the model very quickly and we would expect the others that may follow along to kind of follow in that mode.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you. And can you say more about the opportunity that you expect to emerge as you get the mixed fleet data in construction equipment OEMs, your vision on ag is pretty clear, I'm wondering what's the ultimate opportunity that you're targeting as you get more data under the belt in construction equipment?
Steven W. Berglund - Trimble, Inc.: Well, it is less about us than really about the user, the contractors is to make that data available to the contractor. Ultimately the contractor has the view that the data is theirs. And what the contractor does not need is a set of desperate data realms coming from different colors of the equipment that somehow have to be reconciled. And so I think that is less about us accumulating the data and in some sense trying to monetize it, although there may be opportunities to do that then to become, let's call it, the trusted advisor to the contractor and pulling together kind of the data collection as well as the analytics that drives decisions to allow them to optimize their operations. So per se, we're not looking to be the data hub. It may turn not to be that way, but more really to facilitate the contractor to usefully use kind of the access to the data and the analytics.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you.
Operator: And your next question comes from the line of Paul Coster from JPMorgan.
Paul Coster - JPMorgan Securities LLC: The question, first one is for Rob, actually. Deferred revenue is growing faster than revenues at the moment and – not by much – but by enough perhaps to have some bearing on margins. Is the deferred revenue generally of a higher margin sort of when it adds back to the firm later on to the income statement later on, it will actually be accretive in some way?
Robert G. Painter - Trimble, Inc.: Short answer is yes.
Paul Coster - JPMorgan Securities LLC: Is it material, do you think?
Robert G. Painter - Trimble, Inc.: I would call it, I'd say, meaningful maybe more so than material, but it is coming in an attractive margin management – you get it from the software maintenance and the subscription revenue. So the maintenance would be materially higher margin as our revenue stream and then subscription is closer to fitting, let's say, the normal profile.
Paul Coster - JPMorgan Securities LLC: Got it. Okay. And then Steve, you made some comments about upgrading your go-to-market strategy. I didn't quite catch the context. Perhaps you can elaborate. Thank you.
Steven W. Berglund - Trimble, Inc.: Yeah. So, Paul, not calling out anything particularly new in that, just a continuing point of emphasis for us, as you know we've been talking about needing to focus and upgrade our key accounts capability and we reorganized in the fourth quarter to bring more focus on that, but key account selling is going to be an increasing part of what we need to do to access, while we already have a strong key account capability in transportation and logistics, but it's going to become increasingly more important in the agriculture and construction. We're taking efforts to beat that up. On the third-party distribution, we've been tracking for years about SITECH, more recently about BuildingPoint and Vantage, BuildingPoint on the building construction side and Vantage on the agriculture side, and so those initiatives continue. And I think that in general, in many cases across the company, we are not product constrained. We are in, let's call, an adequate to very good range from a product standpoint, and therefore in those cases, I think go-to-market becomes the key point of discussion and we're simply being as opportunistic as we can to bring the right go-to-market solutions to bear in those cases where we have, call it, better than product sufficiency. So again, nothing new, same things just being reinforced.
Paul Coster - JPMorgan Securities LLC: Okay. Thank you.
Operator: And your next question comes from the line of Richard Eastman from Robert W. Baird.
Richard Eastman - Robert W. Baird & Co., Inc.: Yes. Good afternoon. Rob, could you perhaps elaborate a little bit on the BIM business? I mean, you commented, in the fourth quarter, it was plus single digits. Obviously UK quite soft. How did the business do in the other geographies, U.S., Europe, Asia – Europe ex-UK?
Robert G. Painter - Trimble, Inc.: Yeah, okay, so the UK was down in that business. Asia is not a very large percentage of our sales in the BIM-centric businesses. So really Europe and North America are main drivers, so if I look at the U.S., yeah, we were up higher relative to the overall profile that I described, same with Europe was up, and then UK was down, and then as that Europe revenue translated back into USD, we took a slice off the top of the that business. Our building construction business, as you know, is mostly software-oriented business, and that business has, I'd say, a fair mix of revenue in euro and British pound relative to some of our other businesses, so that took some off the top as it came back.
Richard Eastman - Robert W. Baird & Co., Inc.: And as you know in the UK given Brexit, I mean that's a structural shift there. I am not sure what you've done on the cost side there, but does the BIM business, i.e., Manhattan primarily sitting in the UK, does that need to structurally be much smaller from a cost perspective just given the structural change in the UK construction market? I mean, has that been the approach there?
Robert G. Painter - Trimble, Inc.: Well, that's been some of the approach, and there is also another side to the equation, which is – it actually is in the buildings businesses one of the countries that has the highest percent of employees in the buildings business. So while I complain about the – or mention the top line haircut coming back from currency translation, I should be fair and say that there is some labor arbitrage there, as the UK OpEx comes back into USD, and a fair amount of our team in the UK is R&D-oriented, developing global products. So in that regard, a country-specific dynamic, right, doesn't per se affect our viewpoint on having resources there. In fact, you could argue that it got cheaper and became a better place to have some of those resources. And then I would then dial that back and then look specifically more at the sales and marketing resources specifically for the UK, and there I think it would be a fair comment for you to say that we sharpen the pencil on where we think the market's going to – will settle out at after things calm down.
Richard Eastman - Robert W. Baird & Co., Inc.: When you look at E&C for 2017 and you look at the adjusted non-GAAP op profit there, it strikes to me that surveying we know as being somewhat higher margin business as well, so that'll help from a mix standpoint and then given the cost out in BIM, should we expect a 100 basis plus improvement in the adjusted non-GAAP op margin for all of E&C for next year? Is that a pretty reasonable target?
Robert G. Painter - Trimble, Inc.: Yeah, I think that's pretty reasonable and a fair amount of that comes through playing the cost reduction initiatives that took place in the second half of 2016 into the dynamic of those playing forward to really, you could kind of think about Q3 and Q4 in 2016 compared to Q1 and Q2 within the reporting segment, and as you play that forward, one should see some op margin progression in the order of magnitude certainly that you just described.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay. And then just a quick question for Steve. In the comments about growth initiatives, you listed a number of – I mean, you mentioned economy concepts. Is that the autonomous vehicles business and maybe you could just – if it is, could you just kind of speak to that a little bit and I presume that's down in the Advanced Devices piece?
Steven W. Berglund - Trimble, Inc.: Actually, Richard, the comment applies for pretty much the entire company to some level or another. Last quarter we talked a bit more about autonomy and what it really means for Trimble. So I think first of all, it is not necessarily synonymous with passenger vehicles first of all. There may be place for us there, but it's ranging from everything from componentry to providing positioning services, because on passenger vehicles, there has been really, in the last year, kind of increased sensitivity to being able to have both absolute position to centimeter-level precision as well as relative position, and obviously absolute position is our game. But then I think that we don't have, let's call it, a particularly well-defined strategy at this point in time, but if you kind of go through all of our businesses, whether it be construction or agriculture or transportation, autonomy is going to be a piece of the 5-year or 10-year solution. And so I think that we have roles to play. We're simply attempting to participate in a number of nascent opportunities across those businesses and really try to come to a view in terms of what might be commercially viable for us. And it's not obvious that we will be a big player there. We don't have a great interest to be supplying components. We would like to be very much in the end user business, so I think it's really going to – it's going to consume some cost, so that's why we're bringing it up, but the revenue side is not yet very well evolved.
Richard Eastman - Robert W. Baird & Co., Inc.: I understand. Okay. Great. Thank you.
Operator: And your next question comes from Colin Rusch from Oppenheimer.
Colin Rusch - Oppenheimer & Co., Inc.: Thanks so much, guys. Can you talk a little bit about the attach rates for the software with your ELD deployment so far and any changes you're seeing over the last quarter or two?
Robert G. Painter - Trimble, Inc.: Well, the business, I would just characterize it as having had record backlog of orders, and when we were looking in the first half of 2016, we mentioned that we've gotten our largest order ever in Mobile Solutions. Quite around this time last year, we started talking about that order. And really I think we continue to see that play through, the nice backlog continues in the business. And I would say anything is fundamentally shifted one way or the other relative to the ELD mandated seems to be playing out largely to our expectations at this point.
Colin Rusch - Oppenheimer & Co., Inc.: Okay. And then just shifting gears to the supply chain, in terms of potential risk or exposure on imports, can you talk a little bit about how much of the supply chain is potentially subject to new or increasing tariffs that you guys might have to deal with on the hardware side?
Robert G. Painter - Trimble, Inc.: Yeah. So if you split our business and let's talk about sort of simple high-level hardware and software, and I guess you asked about the software, Colin – the hardware, Colin, but hardware and software, if you look at our software business, we would have a higher nexus of R&D resources in the U.S. and that fits a little bit more of a profile of a net exporter in the software-centric businesses. In our hardware businesses, we definitely are manufacturing in the U.S., but we also manufacture on a global basis. And we then start to talk about the supply chain. It's a global supply chain with a global manufacturing footprint. A good amount of that manufacturing footprint we have has come through outside the U.S., has come through acquisitions. In fact maybe really all of it's come through, almost all of it's come through acquisitions where we then bring that product into the U.S., so it's high on that list of things that we're monitoring to see how the policy might actually play out and what's considered the value add in the whole supply chain.
Steven W. Berglund - Trimble, Inc.: Yeah, at the same time, it's probably not a totally linear sort of calculation. If the U.S. imposes tariffs or trade barriers, it's highly likely that there will be again a response around the world. So it could be – and Trimble is far from an unique in the score. There could be a much more complicated universe evolving in terms of tariff regimens, trade restrictions and such around the world. So I think it's potentially quite a complex dynamic here.
Colin Rusch - Oppenheimer & Co., Inc.: Okay. Thanks so much, guys.
Operator: And your next question comes from the line of Rich Valera from Needham & Company.
Richard Valera - Needham & Company Inc.: Thank you. Steve, just wanted to follow up on your commentary on sort of the full-year expectations for the overall business. I think what you'd said was you were looking at roughly mid single-digit organic growth and potentially I think two to three points from acquisitions, which would conceivably put you kind of in the mid to upper single-digit growth rate for the year. And your first quarter guide calls for sort of 3 percentage at the midpoint, which would seem to imply some acceleration of the year-over-year comps as we move through the year. So just wanted to get your thoughts on that. I think you mentioned – you did mention, I think, E&C might see some acceleration in the back half, but I don't think there were any other businesses that were specifically called out as potentially seeing acceleration in the back half. So just want to get your thoughts on that. Thank you.
Steven W. Berglund - Trimble, Inc.: Yeah. I think that from a business perspective, E&C is the business, or the set of businesses that maybe most clearly have kind of a first half, second half bifurcation. So I think that E&C, which again represents, call, half the company, we would expect a better second half than a first half there for any number of reasons that relate to new products and kind of programs that we can see. The other thing that in terms of – so I think that potentially brings us back into this mid single-digit category. There are some dynamics also in agriculture, in field services, for example, that also tend to point to the second half being stronger than the first half. And then the acquisition effects will be hardly noticeable in the first quarter. We would expect them to start to layer in more significantly in the second quarter and particularly the second half. So yeah, we are expecting kind of the first half particularly exchange and divesture adjusted to be relatively consistent with the second half of 2016, and we do anticipate a step up from that as we get deeper into the year.
Richard Valera - Needham & Company Inc.: Got it. That's helpful. And just wanted to follow up also on the ELD mandate. I think Rob when you answered a previous question, you said it was kind of performing as expected, I guess, but wanted to get a little more color on that. I mean I believe that the mandate says you kind of have to be, have something by the end of this year, I think. So that should suggest this year could be a pretty strong year as the trucking companies look to put that in. So just wanted to get any other color you could on the ELD mandate, sort of how much is maybe, if you look at the whole implementation of the upgrade, how much do you think has sort of been done versus how much maybe is still to come if there is any way to assess that? Thank you.
Robert G. Painter - Trimble, Inc.: Sure, no problem. So I'd break it down in a couple of respects. So we talk about ELD, but there is actually – and that would go into effect in about a year – but if a customer actually already has what's called an AOBRD, an automatic on-board recording device, if you already have one of those devices, that device is actually may not be ELD compliant. In other words, you could have some older technology that's not ELD compliant. If you already have this older technology that's classified as this AOBRD device, you actually have a couple additional years before you have to go to the mandate. So as opposed to a one-year, let's say, I don't call it, cliff of demand in the next 12 months, actually it's a multi-year topic to go to full ELD conversion. So, that's probably the first thing that actually extends the tale from a timing perspective. And then as we look at the overall market and let's call it the addressable market, there'd be one half of the market, which has an AOBRD device on it today, and some element of those will need to be upgraded over this next, call it, three-year time period and then call it the paper-based part of the market that doesn't have technology that we're going after today, that segment's into the larger fleets, the medium size fleets and then the small fleets and then we're most relevant today in the medium and the large fleets. So, that's how I think about breaking that market down and having runway beyond this year on this ELD topic.
Richard Valera - Needham & Company Inc.: Great. That's helpful. Thanks, Rob.
Operator: Your next question comes from the line of Brett Wong from Piper Jaffray.
Brett W. S. Wong - Piper Jaffray & Co.: Hey guys, thanks for taking my questions here at the end. Rob, I just wanted to clarify on a previous response in that you've not yet seen demand for your ag offerings in North America pick up, but if that did happen, then it would provide meaningful growth in 2017. Is that right?
Robert G. Painter - Trimble, Inc.: Yeah, that's right, Brett. So, what I would say, we're seeing in North America is less of a decline by the straight math and then the other dynamic that plays in North America for the overall ag business is our software and services business is quite U.S.-centric. So if I add that on top of the hardware, which the hardware business in U.S. which was what I would characterize as having less of a decline rate in North America, that's what creates that inflection that I am talking about.
Brett W. S. Wong - Piper Jaffray & Co.: Okay. And have you started to see in the field, if you will, any interest or kind of pick-up in possible demand?
Robert G. Painter - Trimble, Inc.: Yeah. I would say as much anecdotally in terms of sentiment. I saw your report after the show and what some of the farmers are saying about precision, ag and technology, and say we see some of that sentiment as well and in terms of then turning it into dollars and cents, we're really starting to enter that buying season now. So I think we'll know soon enough on that.
Brett W. S. Wong - Piper Jaffray & Co.: Okay. And then finally speaking on the same topic, you also continued to see the strong demand in emerging markets. Have you seen any traction so far with customers outside of farmers or agronomists? In the prepared remarks, you mentioned retailers and processors. Just wondering if that's kind of transcribed yet too.
Robert G. Painter - Trimble, Inc.: Yeah, good question. So let's say on the hardware, the traditional hardware business and ag continues to do well outside the U.S. That profile hasn't changed and it continues to go pretty well. And in Brazil – I mean I could point to other markets, but I'll take Brazil as the example, and right, a farmer's selling soy in Brazil on a smart spot market in USD, he is making money right now, right, with the depressed real. And then as it relates to the software business, the solutions we're selling to agronomists and the processors, especially the agronomist is really North American-centric still, so U.S. and Canada. And then solutions to retailers and the processors has been – so, let's say outside of the U.S., I'd say Australia has been the market where we've seen some traction.
Brett W. S. Wong - Piper Jaffray & Co.: Great. Excellent, that's helpful. Thanks.
Operator: And your next question comes from the line of Eli Lustgarten from Longbow Securities.
Eli Lustgarten - Longbow Research LLC: Good afternoon, everyone.
Robert G. Painter - Trimble, Inc.: Hi Eli.
Eli Lustgarten - Longbow Research LLC: Just a clarification question. How big is Beena? I mean, what kind of revenue size is that?
Robert G. Painter - Trimble, Inc.: And so, think of it as around 1% of Trimble revenue, plus or minus.
Eli Lustgarten - Longbow Research LLC: Thank you. And as you've started talking about the outlook for various segments and that sort of have specific piece in each one. In the E&C business, there's some of the growth. Is there any change in relationship with Caterpillar with the new management, is the ag business really being stepped up from Latin America that's probably where it's coming from? And with the forecast decline for truck sales likely this year, is it really the ELD that's driving the growth in the marketplace?
Steven W. Berglund - Trimble, Inc.: So relative to CAT, Eli, I guess you'll find out when anybody else finds out if there are any changes, but now we're not anticipating any changes. We've known Jim Umpleby for probably 10-plus years, so we don't anticipate any surprises. The relationship obviously evolves over time, particularly given Caterpillar's relatively recent focus on kind of the digital world. But I don't think change...
Eli Lustgarten - Longbow Research LLC: Should be a big change?
Steven W. Berglund - Trimble, Inc.: Yeah. Yeah. But change of regime, I don't think, has – we've been through – we're now into our one, two, three, fourth – fourth CEO since we kind of formalized the relationship, so I think the relationship transcends changes in CEOs probably on both sides. What was your second question?
Eli Lustgarten - Longbow Research LLC: The ag market pickup, is that mostly Latin America at this point, the upturn that we're seeing in Brazil?
Steven W. Berglund - Trimble, Inc.: I think it's generalized. North America remains the thing to explain in agriculture, but certainly both Brazil and Argentina are showing – well, the South America in general, I think, is showing very strong performance for the reasons Rob spoke to.
Robert G. Painter - Trimble, Inc.: Russia and Europe were also up as well, Eli. And so, yes, it's been really just outside of North America in general.
Eli Lustgarten - Longbow Research LLC: Yeah.
Robert G. Painter - Trimble, Inc.: And on the truck sales question you had on the last one, so we've seen mixed data on that on what the forecast is for the new units irrespective of the new units because, you're right, ELD is certainly a driver of demand. And then, as it relates to the very, let's call it, the new units coming off the line, last year was the first time we had an OEM business. So we wouldn't be, let's exposed, to a cycle on new units and truck sales. However, I've seen some mixed data. And I think the manufacturers are having some different data they're putting out in terms of potential new unit sales.
Eli Lustgarten - Longbow Research LLC: And just one final clarification on the Advanced Devices, it had a great quarter and great year. Is that sustainable? Is that growth – the margin sustainable? I mean, that's been a big help all the way through?
Robert G. Painter - Trimble, Inc.: It certainly has been a nice performing business. Let's take the top and bottom. At a top line, I would expect that business to be flattish and that really fits the profile of the revenue in the last few years. So the question, I think, then really becomes around sustaining the margin performance in Advanced Devices. And it would certainly be our aim to stay in that neighborhood of performance where we were in 2016.
Eli Lustgarten - Longbow Research LLC: Thank you very much.
Steven W. Berglund - Trimble, Inc.: Thank you.
Operator: I would now like to turn the call back over to the company.
Jim Todd - Trimble, Inc.: Thank you, and thank you, everyone, for attending today's call. And we look forward to speaking to you next quarter.